Operator: Thank you for standing by ladies and gentlemen, and welcome to the Tsakos Energy Navigation Conference Call for the Fourth Quarter 2019 Financial Results. We have with us, Mr. Efstratios Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the Company.At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you the conference is being recorded today.I’ll now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relations Advisor for Tsakos Energy Navigation. Please go ahead, sir.
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. I’m Nicolas Bornozis of Capital Link, Investor Relations Advisor for Tsakos Energy Navigation.This morning, the Company publicly released its financial results for the fourth quarter and the year ended 2019. In case you do not have a copy of today's earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com and we will have a copy for you emailed right away.Please note that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the Company's website on the front page at www.tenn.gr.The conference call will follow the presentation slides. So, please we urge you to access the presentation slides on the Company's website. Please note that the slides of the webcast presentation will be available and archived on the website of the Company after the conference call. Also, please note that the slides of the webcast presentation are user controlled, and that means that by clicking on the proper button you can move to the next or to the previous slide on your own.At this time, I would like to read the Safe Harbor Statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TEN's business prospects and results of operations.And at this moment, I would like to pass the floor to Mr. Arapoglou, the Chairman of Tsakos Energy Navigation. Please go ahead, sir.
Efstratios Arapoglou: Thank you, Nicolas. Good morning, everyone.2019 was another year where TEN proved both, its defensive qualities in difficult times and its ability to respond fast when markets improve. Today, we announced a profitable last quarter of last year and a profitable overall year as a whole, which allows us, of course to take a very sizable impairment charge, allowing us to maintain our dividends announce the buyback, and -- while at the same time, we are renewing our fleet, expanding the relationships with the blue chip customers, all stuff that we've been doing all along and TEN has established a very sound base in its business throughout the year. Congratulations are in order for Nikolas Tsakos and the team. And let's hope that our markets continue to be as strong as they are today for the rest of the year. That's all for me.Over to you Nikolas Tsakos. Thank you.
Nikolas Tsakos: Thank you, Mr. Chairman. And first of all, I hope and we want to wish all of our locked up friends, but this ordeal will pass very fast with the least disruption to family happiness and health. And I think business comes second. But of course, for us here in Greece and with the 3,000 seafarers onboard, we consider all of them family. So, their wellbeing is very, very important as also the wellbeing of our vessels. It has been -- as we spoke before, 2019, which was really a rollercoaster year with a lot of ups and downs, with a very strong start, very, very, I would say depressed rate environment in the second and third quarter, and then a sudden boom in the fourth, it looks very -- like a very normal year on what has happened since then. However, the Company's fleet utilization is working and taking advantage of circumstances. The dramatic drop in price oil actually enhances our business. So, there is a lot of oil that’s been moved around. Right now, there is a lot of inventory oil. There is a huge opportunity for the product carriers that finally they can actually move low-sulfur economically around the world. So, all our ships are very much in demand. So, unlike unfortunately -- or unlike other transportation -- in part of the transportation industries, the seaborne transportation right now, mainly the energy segment, specifically crude and products is really booming.So, we expect looking forward we have the oil companies that know what they are doing there, the clients looking for ships for one or two years pushing us very hard, paying very healthy accretive rates for these businesses. No one is building any supply. Right now, overall, the shipyards in the world are close. The last thing someone has in mind is to add supply. So, we are looking when we get out -- and as I said, our priority is to get everybody out safe from this ordeal. And as soon as we get out of that, I think, we will continue to see a healthy return.It is really mindboggling to look at the performance of our shares together with every other share. I think, in our case, it is really -- it makes no sense, and that’s why we have initiated a significant buyback program and we maintain our dividend to give the signal to all the business as usual is there. And of course, we as usual have to do with business but of course health is more important. And in this environment, as I said, things look very positive. For the first quarter, it looks that the good market will go well within -- also in the second quarter and for the full year.And with that, I will ask George Saroglou, our very on-hand COO to sanitize his hands and give us a little bit of what’s happening. George.
George Saroglou: Thanks. And let me start also by wishing good health to everybody joining us for this call, to our seafarers and our onshore personnel, and of course extend this to every human being out there fighting to stay well and healthy during these difficult times.We are pleased to report the profitable year as a result of a better freight market environment that started improving since the fourth quarter of 2018. Freight rates in 2019 started strong during the first quarter, we then had a softer middle and a very strong finish in the fourth quarter with freight rates hitting multiyear highs. This year, 2020 started with a strong tailwind in January before the news of the virus outbreak initially coming out of China and then from the rest of the world changed the positive sentiment the market had for the year.The various containment measures that governments took to stop the virus from spreading globally affected significantly global economic activities and as a result, global oil demand. The collapse in the talks between OPEC and Russia on additional production cuts to counter the expected fall in Chinese and global oil demand, and the ensuing price war between Saudi Arabia and Russia sent oil prices crushing to levels that we have not seen since 2003. With oil prices hitting multiyear lows and the oil complex into contango, stockpiling at low level prices and oil storage in tankers helped freight rates hit again the multiyear high levels of last year. The strong market that started initially with VLCCs had a spillover effect on Suezmaxes, Aframaxes and the rest of the tanker size and types.If we move on to the first slide of our presentation, slide three. In this strong freight market, TEN is well-positioned to take advantage of the market’s current strength. We have 37 vessels, trading in the spot market under COAs and profit-sharing arrangement. And we have 16 more tankers that opened during the year. If we combine the two, then upto 80% of the operating fleet could have their freight income related to the spot market.In this slide, in yellow the vessels -- represents in yellow vessels currently trading in the spot market and in red, the vessels that opened for charter during the course of the year.Next slide, slide four shows how many of the 16 vessels opened during this quarter with the majority as you see 8 and 5 opening in the second and third quarter of the year.Slide five presents the all-in breakeven cost for the various vessel types that we operate in TEN. As you can see, we have a very low cost base. In addition to the low shipbuilding costs, we must highlight that purchasing power of Tsakos Columbia Shipmanagement, our technical managers, the continuous cost control efforts by management in order to maintain a low OpEx average for the fleet, low general and administrative expenses, while at the same time we keep a very high fleet utilization rate quarter-after-quarter and year-after-year, again in excess of 96% for the year.And thanks to the profit sharing element that the big portion of the fleet enjoys, TEN benefits further when market conditions improve, like the periods we have now. And based on current market conditions and the number of vessels operating in the spot market, for every $1,000 increase in the spot market rates, we have a positive $0.06 impact in annual EPS.Debt reduction is an integral part of the Company strategies. And in slide six, you see that since the end of December 2017, we have reduced debt by $218 million. In the last 12 months, the Company paid back $62 million, taking down the net debt to capital ratio at the end of 2019 to below 50%. In addition, at the end of July, TEN fully redeemed a highly successful $50 million Series B preferred shares.Looking at the demand. As soon as the virus-related lockdowns for cities, states and countries globally ends, oil demand is expected to rebound hopefully quickly enough to pre-virus levels. Additional measures, support measures from governments and central banks remain highly likely to ensure consumer and small to medium sized businesses survive while the containment measures last and economic activities curtail.China is slowly coming back as the latest news out of China suggests that the virus outbreak is slowly -- is slowing if not almost over. Oil demand in China this month will rebound from the February lows. However, March 2020 year-over-year will be approximately 19% down or 2.5 million barrels per day, citing a report from China National Petroleum Corporation. The low oil price environment, as long as it lasts, is stimulating stockpiling, storage at sea [ph] and reduces the procurement cost of bunker fuel for shipping companies. So, if you look -- the way to be looked it is basically a blessing.On the supplies of tonnage, the order book at 7.5% is low compared to historical levels. A big part of the fleet is over 15 years and environmental regulations to push more tankers approaching for above 20 years to go for scrapping. 2018 was one of the highest scrapping years of records. Last year’s scrapping was lower as expected, but with more than 1,100 tankers older than 15 years, we could see a pickup in scrapping with more environmental regulations on the horizon, especially as we set for the vessels that approach or are over 20 years. The market prospects generally speaking are good, and we expect the trend to continue as soon as the virus is behind us.And with that, we conclude the operational part of our presentation. Paul will walk you through the financial highlights for the fourth quarter and the full year. Paul?
Paul Durham: Yes. Thank you, George. The end of what I thought was a difficult year, but as Nikolas said, it wasn't as difficult after all compared to where we are. It sounds like a normal year. TEN achieved a quarter four net income close to $41 million before impairment charges of $28 million. That would compare to your $3 million net income before impairments in the prior quarter four. So, quite a change.For 2019, net income before impairment charges was almost $43 million, a $76 million turnaround from the previous year. Quarter four revenue totaled $175 million, a $22 million increase, much due to profit share, as the tanker market was blessed with a longer overdue recovery, allowing our fleet to achieve a 98% fleet utilization.In 2019, revenue amounted to $597 million, a $68 million increase, a third of which came from profit share. Also, accretive charter renewals were secured, including a significant increase in our LNG carrier rates. Quarter four daily TCE per vessel approached $26,000, a 20% increase. Quarter four cost per category remained at similar levels to the prior quarter four, except for voyage expenses, which fell 17% due mainly to lower bunker cost.Total quarter four operating costs remained at about $46 million with the same average number of vessels while daily average OpEx per vessel remained at about $7,800, helped by a stronger dollar. Also, G&A expenses were at exactly the same number as in the previous quarter four. Quarter four, finance costs were halved to $13.7 million, mainly due to improved bunker hedge gains.We aim to sell 8 vessels into 2020, one of which Celia T [ph] was sold this February, releasing $5 million cash after paying down $11 million debt. Two Suezmaxes were sold this January as part of a sale and leaseback deal, resulting in reduction of debt by $27 million and release of $22 million cash. As a result of these proposed disposals the impairment charges were incurred.We took delivery of a new Aframax in January with $26 million paid from debt and $5 million in cash. We should take delivery of a Suezmax with charter in quarter three and another in quarter four with payments of $110 million financed mostly with arranged bank finance. Payments of $46 million will also be made this year relating to our LNG carrier and construction, and $135 million next year, despite new debt relating to the delivery of new vessels and refinancing of older debt in 2019 at better terms, which actually released $29 million in cash. Debt was reduced by $62 million in the year, bringing total debt down to $1.54 billion and net to debt to capital to 48%.Quarter four EBITDA was $90 million, a 36% increase. For the year, EBITDA was $257 million, a $66 million increase over 2018, allowing TEN to maintain a healthy cash position at the year-end. We enjoyed a spectacular recovery in the tanker market in quarter four, which lasted well into quarter one, apart from a brief dip in February. However, with many vessels still operating on a healthy time charters and with profit share and with our spot vessels again attracting lucrative rates, we expect a strong cash flow plus freed up cash from vessel sales to cover all obligations in quarter one, including loan repayments and prepayments totaling $100 -- I wish -- $100 million.This concludes my comments. So, I’ll pass the call back to Nikolas.
Nikolas Tsakos: Thank you, Paul. I like the way you think, reducing the expenses and increasing the earnings. That’s very good. Well, thank you very much, Paul. With that we would like to open the floor for any questions.
Operator: [Operator Instructions] Our first question comes from Randy Giveans of Jefferies. Please go ahead.
Randy Giveans: Gentlemen, how's it going on?
Nikolas Tsakos: Hi, Randy, good, locked up in essence, but could be worse.
Randy Giveans: Yes. That’s for sure. There are worse places to be locked up. But, all right, well a few quick questions for me. I guess, looking at your newbuildings on order. Have we seen many delays for those and that the delivery now is for 3Q and 4Q of this year? Have there been kind of force majeure declarations at the shipyards that are likely to get push those or do you still expect to receive those on time later this year?
Nikolas Tsakos: I believe that we will be -- and I think Mr. Papageorgiou is in our meeting here. We believe that the first vessel is going to be delivered on the schedule in the first week of September and then the second one in the last week of October. So, so far, on schedule from what we understand. Vasileios, are you -- is Vasileios there?
Operator: He’s not here.
Randy Giveans: What was that last part? Sorry.
Nicolas Bornozis: His line was cut off.
Nikolas Tsakos: Okay, very good. Go ahead. So, yes. So, on schedule so far.
Randy Giveans: Got it. And then, quickly, looking at the refined products, I know you said obviously the crude market has been robust, floating storage. You have all these stems coming out of Saudi Arabia. Have you seen a lot of activity on the refined product side, any for storage, on the floating storage for refined products or is that purely just gasoline, diesel, jet fuel, arb opportunities on the product tankers?
Nikolas Tsakos: Well, I think what we're seeing right now is a lot of products movement, which we’d not expect from our LR1 and sometimes LR2s, the Med Japan clean market -- the products market is at all-time record high because prices in Europe are so low understandably. So, people are replenishing the 0.5’s -- you remember that there was a lot of talk that was getting very expensive to meet 05 regulation and -- the 0.5 regulation. That's what I mean. And now at this at these prices, which are lower than heavy used to be last year, much lower, people are showing. So, we have a lot of demand between the Med and Japan for clean. And I think another thing that we have -- we are experiencing is that although the complete stoppage of movement in China has created a lot of available products from the local refineries. So, we have seen an increase of more than 70% in -- also on exports of products from China to the region. So, in general, there is a lot of movement and that one movement is there, that's what we are there -- we the track drivers of this issue. We need to pick it up.
Randy Giveans: Got it. Okay. That’s fair. And then, two quick modeling questions. Obviously, your interest expense fell dramatically. I think, you said that was mainly due to bunker, hedging or trades. What is your second interest expense in the first quarter and second?
Nikolas Tsakos: I think, Paul please take that one. You're the one who reduces that.
Paul Durham: Yes. I think, we're looking at around $13 million a quarter -- quarter one, we are looking at -- yes, about $15 million. $15 million a quarter…
Randy Giveans: And do you expect a reversal in Q2, just continuing with the -- as the bunkers are less profitable, the bunker hedging or what's the Q2 guidance?
Paul Durham: It's very possible, probably could hit in the middle of the year. We're probably going to go up to -- who knows, potentially $20 million each quarter.
Randy Giveans: Okay. That’s fair. And while we're discussing first quarter, for all intents and purposes, the first quarter is also over. Right? So, how are you looking at 1Q numbers? Is it safe to assume that 1Q could be even better or should be better than the fourth quarter? Can you give some kind of guidance on -- now that the first quarter is done?
Nikolas Tsakos: I think that we will see, of course, a very profitable quarter. We might have some non-cash items, as Paul said. I think, we have made a hedging of a small -- of about 30% of our needs for 0.5 basically, going forward. So, I think we have 30% over the next four years. Is that the right, George Saroglou?
George Saroglou: Yes. That's right.
Nikolas Tsakos: So, the $20 million that Paul mentioned is not a reoccurring -- it’s not a reoccurring figure. It's a figure that -- it does not compound. It's the same figure that in some quarters, depending on the price of oil it might be higher or lower. So, it's not, when we say up to $20 million per quarter, does not mean $80 million a year. It means that one quarter might be $20 million, one quarter might be $15 million. That's understandably a non-cash item. But at the same time, with the two-thirds our bunker needs are making a killing because we're paying bunkers on the spot market much, much, much, much cheaper. So, if you exclude those non-cash items, I think, we will have a very similar quarter. And believe it or not, I think, the second quarter will also be very strong, because a lot of our vessels, to give you an example, on the fourth quarter, our VLCC leases [ph] earned upto February $125,000 a day. Then, next voyage, which is finishing in the middle of April, is earning only $40,000 a day. We're negotiating the next voyage back to close to $100,000 a day, which will calculate very much within the second and third quarter. And of course another factor that we should not forget is that from April Fool’s Day, April 1st, the new rate, huge escalation rates are happening on LNG carriers going upto close to $75,000. So, in general, I think, we will have similar quarter, excluding the unrealized losses on bunker hedges.
Randy Giveans: Yes. That's understandable. All right. Last question for me. Obviously, the $50 million repurchase authorization is very encouraging to see here. You mentioned in the press release, that there has been panic selling. You mentioned on the prepared remarks that obviously the sell-off has seems mindboggling, quoting you. So, how quickly can you implement and use that $50 million? Can we do it all tomorrow? Right? And then, secondly, is it going to be geared toward the common units at a 50% discount to NAV or is it going to be the preferreds, which are also trading at $13, $14 for some of the Series E, F, even the D. So, how do you kind of balance those two?
Nikolas Tsakos: I think that we will do it mix. So, we might keep priority to the common. And when I said mindboggling, it’s for the whole bunker industry. It’s not, I mean, in our case. It’s because we know -- I mean -- the Company right now -- we are valued almost as much as cash that we're in the bank, which is -- it is very, very cheap. I think it’s a very good investment for us to make. Also, we have our coupons. We have one coupon -- we have one of our obligations that is due and we will be buying it out in October -- by October. And then, our obligation -- the coupons, as said you said, which are close to 9% that we are buying, people are earning double on them right now, which is really huge -- it’s racketeering returns. So, we will mix it up, starting on the common and then doing something more organized on the preferreds.
Randy Giveans: Got it. And then just the first part of that question, how quickly can you implement that? Can we do $50 million pretty soon or is it like having the...
Nikolas Tsakos: I think, you have to follow a part of liquidity. So, it has to be done in organized manner. But, we will start it as soon as possible.
Randy Giveans: Excellent. All right. Well, I'm looking forward to the next results with some huge preferreds and income…
Nikolas Tsakos: Very good.
Operator: [Operator Instructions] And we have no further questions at this time. So, I would like to hand the floor back to Mr. Tsakos.
Nikolas Tsakos: Thank you. Well, it is -- again, it's encouraging that -- to have you listening to us, listening to our story. We are in the uncharted territory, but we are experts in navigating things. So, I think, we will find the right source going forward. As we speak right now, we expect the way we run the business that we have a model, we have our clients, our clients have the biggest oil companies out there, and we expect a good next one or two quarters. But more importantly, for us, it’s to have -- all you and your families, national families, and seafarers healthy. So, thank you very much for that. And please, we'll ask our Chairman, Mr. Arapoglou to close the call.
Efstratios Arapoglou: Hello. Thank you Niko. Just to close by saying, look after yourselves, stay healthy, and let's hope that the markets continue the way they are today. All the best. Thank you.
Nikolas Tsakos: Thank you.
Operator: Thank you. That does conclude our conference.
Nikolas Tsakos: Thank you. Well done, guys. Thank you.